Operator: Good day, ladies and gentlemen. And welcome to the Grand Canyon Education’s First Quarter Earnings Call. At this time all participants are in a listen-only mode. Later there will be a question-and-answer session and instructions will follow at that time. [Operator Instructions]. As a reminder today’s call is being recorded. I would now like to turn the conference over to Brian Roberts, General Counsel. Sir, you may begin.
Brian Roberts: Thank you, operator. Good afternoon and thank you for joining us today on this conference call to discuss Grand Canyon’s 2015 First Quarter Results. Speaking on today’s call is our President and CEO, Brian Mueller; and our CFO, Dan Bachus. This call is scheduled to last one hour. During the Q&A period, we will try to answer all of your questions, and we apologize in advance if there are questions that we are unable to address due to time constraints. We’d like to remind you that many of our comments today will contain forward-looking statements with respect to GCU’s future performance that involve risks and uncertainties. Various factors could cause GCU’s actual results to be materially different from any future results expressed or implied by such forward-looking statements. These factors are discussed in GCU’s SEC filings, including our annual report on Form 10-K for the fiscal year ended December 31, 2014, our quarterly reports on Form 10-Q and our current reports on Form 8-K. We recommend that all investors thoroughly review these reports before taking a financial position in GCU, and we do not undertake any obligation to update anyone with regard to the forward-looking statements made during this conference call. And with that I’ll turn the call over Brian.
Brian Mueller: Good afternoon and thank you for joining Grand Canyon University’s first quarter fiscal year 2015 conference call. In the first quarter of 2015, enrollments grew by 12.9% and net revenues grew by 15.9%. New enrollments grew in the mid-single digits and operating margins are at 28.8% for quarter one 2015. Continuing to produce these results requires expertise, hard work and especially teamwork. I want to thank our executive management team, our faculty and our staff for working in a multitude across functional ways, across many colleges and departments to provide our students with world-class educational experience. The 2014/15 traditional school year, officially ended this past Saturday with a Sixth and Final Commencement Ceremony. Going forward there are two numbers that will become increasingly important to the development of the traditional campus. First, we start to follow 2014 with approximately 11,000 campus students. After subtracting the students who graduated, approximately 85% of the total, remain in our registered return this coming fall. That means that we are now on track to graduate approximately 60% of our traditional campus students. In the case of GCU, I think [ph] it doesn’t accurately portray the future with regards to graduation debt rates. The deal [ph] was back six years to 2008 and only includes first time full time students with GCU had less than 100 of those students. Between 2004 and 2009, traditional campus student body had deteriorated in terms of quantity and quality. In fact, in 2008 there were less than 900 students on campus and the overall quality of the students was not good. Beginning in 2010, the traditional campus student body began to grow in both quality and quantity of students. Since 2010, each class has been stronger. The average income in, GPAs keep getting higher, retention rates continue to improve and the graduation rates will reflect those improvement. The other critical metric is that of the approximately 7,500 students who will return next year, over 60% will live on campus. And over 70% of our new students will live on campus. As we grow the traditional student body to over 25,000 students, keeping the graduation rate at close to 60% or better and keeping 70% of students living on campus, has a positive impact on both, the top and bottom lines as well as the overall culture of university. Average revenue per student is $11,000 for commuter students but $14,000 for resident student students since residential students pay for room and board as well as tuition. Building and managing resident halls and not outsourcing it as many universities have done, has become very important for two reasons. First, at very low room rates, the resident halls are very profitable which allows us to keep, leasing tuition. Second, it also allows us to create a vibrant campus in addition to keeping the campus very safe for students. We had another year with very low crime statistics. Given the recent publicity with regards to campus safety across the country, this has become a significant advantage for us. Outsourcing residential housing takes away a significant profit center but also takes away a university’s ability to create a safe, positive and productive environment for students. Campus life has become a major reason students are choosing Grand Canyon. Spiritual life activities, concerts, theater, dance, debate, clubs, intramurals and club sports as well as NCWA Athletics keep the campus alive throughout the week. This fall, in addition to the approximately 7,500 returning students, we are expecting 7,000 new students which would bring the total to 14,500. We are building four new six-storey residence halls with 3,200 new beds. But we’ll still have to turn hundreds of students away because of not having enough rooms. Each new dorm will have its own Academic Excellence Center that will provide high-touch one-on-one tutoring for freshmen students. Our students are coming with excellent academic credentials. About 60% will be studying in very rigorous science technology, engineering or math subject matter areas. And we’ll provide them with a tremendous amount of support as to begin their college career. The online campus has grown 10.6% to 57,450 students. The student mix continues to move in a strong direction. Our strongest online students by virtue of high graduation rates, low acquisition cost, low bad debt expense and low student default rates are our doctoral students, all master students and RN to BSN students. If you add our traditional ground students to those categories, they comprised 63.6% of the total student body in the first quarter of 2014 and are now 66.3% of our total student body. The strength of the student body increased academic effectiveness across many objective measures, increased continued commitment to student academic support services, and continued operational excellence has caused the revenue and expense areas to improve as well. There is a lot of discussion in higher education about how to lower cost in order for students to accumulate credits in their first two years. But not about the kind of educational setting and experience they need in their first and second years in order to gain the foundation necessary to get ready for demanding programs like science technology, engineering and math. Many of the proposed solutions remove the high-touch experience that many students require in order for rigorous academic study. Our model is producing low tuition rates but keeping the high-touch model in place. Whether teaching on our campus to traditional students who are 18 to 22 years old or through our online delivery model to working adult students, we are moving in a much different direction. We think that the full residential experience for 18-year old students including on-campus living, small class sizes, one-on-one tutoring and mentoring is more important than it ever has been as long as it remains affordable. Our classes on ground are taught with an average class size of 25, where professors know each student by name and a great deal about who they are as people. There are one-on-one tutoring services available throughout the campus including in some resident halls. And every student is assigned a personal counselor who will assist them in finding the right program, in developing their class schedules and in building the most efficient financial package. In our online classroom, many classes are taught by full-time faculty where there is an average class size of 15. There is a focus on vibrant in-class discussions led by faculty, and students are required to complete a great deal of writing throughout the program. There is a tremendous amount of resources put in the relationship of writing and the ability to develop critical thinking skills which are highly valued by employers. Writing is an important part of all our programs whether deliver in a classroom or online, but is best supported only when there are small class sizes. We are applying a great deal of technology to curriculums, instruction, assessment and counseling but not at the expense of small class instruction one-on-one in tutoring and mentoring. Net revenues were $194.1 million in the first quarter of 2015, an increase of $26.7 million or 15.9% from a $167.4 million in the prior year period. Operating margin for quarter one 2015 was 28.8% compared to 25.9% for the same period in 2014. It is important to note that tuition and housing has been frozen for six years on our ground traditional campus, and there was no increase in tuition for the online campus in the past two years. Net income was $34.2 million for the first quarter of 2015 compared to $26.3 million in the prior year period. After-tax margin was 17.6% compared to 15.7% for the same period in 2014. Instructional cost and services grew from $70.7 million in the first quarter of 2014 to $78.7 million in the first quarter of 2015, an increase of $8 million or 11.3%. This increase is primarily due to the increase in number of faculty and staff to support the increasing number of students attending university as well as increases in occupancy expenses and depreciation expense due to the additional ground campus buildings opened in the fall and higher instructional supplies and related expenses. As a percent of revenue, IC&S decreased 1.7% to 40.5%, due to the decrease in our bad debt expense as a percent of revenue from 2.3% of revenue in the first quarter of 2014 to 2% of revenue in the first quarter of 2015, as well as our ability to leverage our infrastructure over higher enrollment. Admissions advisory and related expenses decreased 1.1% to 14.6%, primarily due to our ability to leverage our admissions advisory personnel across an increasing revenue base. Advertising as a percent of net revenue increased 30 basis points from 10% in quarter one 2014 to 10.3% in quarter one of 2015. The slight increase is the result of continued focus on brand advertising in the Southwestern United States region. Marketing and promotional expenses as a percent of net revenue decreased 20 basis points from 1.1% in the quarter one of 2014 to 0.9% in quarter one of 2015. General and administrative cost as a percentage of revenue decreased from 5.1% in quarter one of 2014 to 4.8% in quarter one of 2014, primarily due to our ability to leverage the fixed cost structure of our general and administrative expenses across an increasing revenue base. We are continuing to pursue a myriad of approaches to stimulating the economy and driving increased prosperity to West Phoenix. We continued our launch of the largest corporate habitat for humanity project in the country through this program and plan to update and improve 700 homes in our neighborhood in the next four years. The first 30 homes were completed in the first quarter of 2015 involving over 300 students, faculty, and administrative volunteers. I’m also very pleased to report that our three year cohort default rate for the 2012 cohort has dropped to 11%. And our 2013 cohort is tracking to be even lower. Our two year default rate for the 2014 cohort which is no longer officially reported, but we can calculate it based upon information we receive from our lenders was 6.5%. This reflects the quality of our student body and the rise in graduation rates across all sectors of our student body. As a result of the above, net income increased from $26.3 million in the first quarter of 2014 to $34.2 million in the first quarter of 2015. I want to give you an update on what has happened since the last call regarding our back to not profit status. The work of transitioning from a for-profit to a non-for-profit entity is ongoing. The model that management initially pursued is not likely to happen for a variety of reasons. However, management is continuing to look at other possibilities where we think could have potential. We don’t have any details to discuss at this point but we believe we should know more one way or the other at the time of our second quarter conference call. As we move through this process, I want to continue to emphasize that nothing about our strategic plan will change whether we stay as a for-profit publicly traded university or become a not-for-profit university, although if our tax burden is lifted it increases our capacity to continue to invest in educational infrastructure and to lower tuition. With that I would like to turn it over to Dan Bachus, our CFO to give a little more color on our 2015 first quarter, talk about changes in the income statement, balance sheet and other items.
Dan Bachus: Thanks Brian. Revenue and income from operations exceeded our expectations in the first quarter, primarily due to higher enrollments. Revenue per student was up year-over-year due to our residential traditional campus enrollment growing at a rate higher than our working adult enrollment. When factoring in room boarding fees, the revenue per student is higher for these students than for our working adult students. Online revenue per student was down slightly due to students taking more breaks in the previous year and a mix-shift of programs that are in less revenue per student per day. We believe this trend of slightly lower online revenue per student will continue. Scholarships as a percentage of revenue increased from 18.4% in Q1 2014 to 19.3% in Q1 2015 due primarily to the growth in our ground traditional student enrollment between years. Online scholarships as a percentage of related revenue was flat year-over-year. Bad debt expense as a percentage of revenue decreased to 2% in Q1 2015 as compared to 2.3% in Q1 2014. This decrease is primarily the result of continued improvements in processes and the quality of our student body as well as the change in accounting for withdrawing students made in the third quarter of 2014 which has had the effect of reducing our bad debt expense and revenue. Our effective tax rate for the first quarter of 2015 was 38.8% as compared to 38.9% in the first quarter of 2014. We did not repurchase any shares of our common stock during the first quarter of 2015. We have $25.9 million available under our share repurchase authorization as of March 31, 2015. Turning to the balance sheet and cash flows, total cash unrestricted, restricted and short-term investments at March 31, 2015 was $245 million. Accounts receivable, net of the allowance for doubtful accounts was $6.7 million at March 31, 2015 which represents 3.4 days sales outstanding compared to $7.4 million or 4.3 days sales outstanding at the end of the first quarter of 2014. CapEx in the first quarter of 2015 was approximately $45.7 million or 23.6% of net revenue. This was consistent with our expectations. All of the major construction occurring on campus is currently on time and on budget. Last, I would like to provide some color on the updated guidance we have provided for 2015. We have raised our full year guidance due to the first quarter beat but have left the remaining guidance in place. Our financial results continue to become more seasonal due to the significant growth of our ground traditional campus. A large percentage of these students only attend class between the end of August and the end of April. However a large percentage of the ground traditional campus costs are fixed and these costs continue to grow due to the anticipated growth. We must hire additional support staff to service the increasing student body in the spring or summer of each year so that they are trained and can start working with the students to be students when these students are ready to be registered for the fall semester. Some of the hiring we anticipated to incur in the first quarter of 2015 did not happen as early as expected which helped to increase the first quarter margins. However, most of that hiring has now occurred or will occur in the next few weeks. As a reminder, our revenue per student will be slightly impacted by one additional day of revenue in the first and third quarters of this year and one less day of revenue in the second and fourth quarters than in 2014. In addition, as I mentioned earlier, we are seeing a mix-shift in our online programs to programs that generate slightly less revenue per day due to either lower tuition rates or longer program length. This trend has been factored into our guidance. On the expense side, instructional costs and services and admissions advisory expenses as a percentage of revenue were low in the first quarter than expected primarily due to lower employee compensation related expenses than anticipated as discussed earlier. In addition, benefit costs were lower than we expected. We anticipate that Q2 expenses will be in line with our original expectations. Our effective tax-rate and diluted weighted average shares outstanding were in line with our expectations for the first quarter and no changes were made to our expectations for the rest of the year. Last, our current guidance does not include any potential write-offs for campus assets that might have to be disposed out in the next six months, as we start construction for the 2016/2017 school year. There are a number of options that are being considered for the next phase of construction and some of those options would result in write-offs that would exceed $1 million. I will now turn the call over to the operator so we can answer questions.
Operator: [Operator Instructions]. Our first question is from Adrienne Colby with Deutsche Bank. You may begin.
Adrienne Colby: Hi, thanks for taking my question. I was wondering if you could update us with how many students have registered for fall 2015, and remind us if you require deposit and maybe what percent of your incoming class could actually be from Arizona and California?
Brian Mueller: Yes, we don’t give those registration numbers out, although we are on track to hit the 14,500 number and are on track probably to exceed the 7,000 new-student number. And so, we feel very good about where we’re going from that standpoint. And secondly, we feel very good about the average income in GPAs, last year it was right at 3.5, this year it will exceed that for fully admissible students. We’re very excited about that. The third thing is, we will have approximately 1,000 students studying in computer science, information technology, and our three engineering programs, mechanical, biomedical and electrical engineering. And so we’re very excited about the incoming class from that standpoint, 50% of the students will still be studying in the natural sciences, many of them in all of the biology programs that we have. Our placement rate continues to almost double the national average for placement rate into medical school, we’re excited about that. And then from Arizona, we will probably have somewhere between - around 55% of the new students will be from Arizona, 20% to 25% will be from California. That number recently is really starting to go up, as we’re experiencing - we’re getting their award letters. And they’re looking at what they’re going to have to pay after scholarships tuition, room and board. They’re comparing it and they’re really very surprised that they can study in the natural sciences engineering and technology for those tuition rates. And so, California is really growing. And then the other 15% or so percent will come from mainly the Southwest, although we are starting to roll a little bit in the Midwest now.
Adrienne Colby: Okay. And as a follow-up could you just update us on your expectations for summer school enrollment?
Brian Mueller: Yes. Yes, I think it will be pretty comparable to last year. We’re not seeing a big jump year-over-year in like we saw last year. So, it will be just under 3,000.
Adrienne Colby: Great. Thank you.
Operator: Thank you. Our next question comes from Sara Gubins with Merrill Lynch. You may begin.
David Chu: Hi, this is David Chu for Sara. So, can you just I guess speak a little bit more about the non-profit conversion and I guess you mentioned that the initial structure is not likely to happen. Can you just elaborate on that?
Brian Mueller: I think the four or five largest investors that we have are looking at our models and saying, at 10% or 15% premium is way below what they would expect given the performance of the university. And so, that’s probably the major reason, if not, that would have been required if not, it just didn’t fit with what we were willing to do from a debt standpoint. So, but we do, we are continuing to pursue other avenues, we don’t want to talk about any of the details of that but there are some things out there that have some amount of potential and we’re going to keep going down those roads. We hoped it will have more information or more detail to share about that in the second quarter conference call but we don’t want to really say any details at this point.
David Chu: Okay. And so, just a follow-up on that. So, in terms of like the 10% to 15% like premium, I mean, is that the kind of maximum leverage that you could have taken on?
Dan Bachus: No Dave, once we got all the information from the rating agencies, I think we would have had a difficult time raising even the amount of debt to give even a slight premium over the existing stock price. And that, given what we believe the value of the company as a whole and what we heard from our investors as Brian said, we just couldn’t get to the debt levels that would be required to do that.
Brian Mueller: Although we do want to keep emphasizing that many of you have expressed dissatisfaction with the performance of the stock and we agree given the performance of the university or the company. It continues to be a problem of overhang with the rest of the industry. And so, that 10% or 15% we believed that would have been really best, it could have been best for our shareholders, but we respectfully will honor their devaluation if that’s not good enough. And we’d agree with them if something could get done about the overhang and the rest of the industry, that’s the problem.
David Chu: Got it, okay. And just one last question, in terms of scholarships what is, your expectations for the year?
Brian Mueller: I think similar to what we talked about at the year-end so you’ll see an overall increase in scholarships as a percentage of revenue. But that is, if you split it out flat year-over-year from an online perspective and flat year-over-year from a ground perspective, but when you combine the two of them together given that the ground is growing at a faster pace in online, you’ll see an increase in scholarships as a percentage of revenue.
David Chu: Got it, okay. Thank you very much.
Operator: Thank you. Our next question is from Peter Appert with Piper Jaffray. You may begin.
Peter Appert: Thanks. So, Brian, the momentum you guys have had in the online business has been really extraordinary relative to your peers. Can you call out any program offerings that you’re driving or other factors that you think are particularly critical to the performance? And then talk about how you think about the sustainability of that growth as the enrollments have gone larger?
Brian Mueller: And that’s the best question always to ask. And I’ve been saying that now for three or four years. I mean, if we can continue the online growth at this pace, well, it’s eventually going to go down, we’ve talked about that. But if we can continue to grow the online campus, the variance that we have in the ground past campus perspective continues to grow. And going past 25,000 students with high graduation rates, four year revenue streams and plus factor-in what we’re experiencing from a room and board standpoint, that part of it is really kind of insured. It’s the online part of it. The programs, the doctoral program is growing at a very fast clip. And that is really helpful to us because the tuition rate is relatively is higher. The students have good retention rate. And there are four year revenue streams. And so, every time you recruit a doctoral student that stays in the program that counts for a lot compared to students in other programs at other levels, so doctoral program is growing fast. We continue to do well in education and in nursing at both the Bachelorette and the Masters degree level although we are adding a minimum of 20 Masters degree programs on an annual basis. And so what we’re starting to do is we’re starting to leverage additional programs that we’re adding. In fact, today we have eight colleges and 160 programs by the end of this calendar year we’ll have over 200 programs. And so, programmatic expansion is really helpful to us both in those core verticals but then in others as well. One of the areas that is doing well for us is counseling and psychology. When I say psychology, I really mean in the areas of counseling, addition counseling, those areas are growing because there is an increase in each of that in a lot of different facets of society.
Peter Appert: That’s very helpful. Thank you. And one related question Dan, do you have an estimate of what the cap spending is going to be for ‘15 and preliminary thoughts on what it could be in ‘16?
Dan Bachus: We’re leading our expectation of ‘15 the same so that in the mid $190 million range. We haven’t come out with a 2016 estimate yet I think we’re still finalizing exactly what needs to be done for 2016. I know we’re going to build at least 2,000 new beds from a residential standpoint. But in terms of classroom, needs and other needs, we haven’t finalized that. So we haven’t come out with an estimate yet for ‘16 CapEx.
Peter Appert: But probably not meaningfully lower than ‘15 then it sounds like?
Dan Bachus: It will be lower but not, it won’t be meaningfully lower I don’t think.
Peter Appert: Got it. And can I ask one other thing, Brian, any comments on the competitive dynamic with ASU and what you’re seeing there?
Brian Mueller: It’s really competitive. And I think in a very good way. We’ve got 4 million people that live in the valley and if you go to a city like Chicago or Philadelphia, you’ve got six division one institutions, in a City like Chicago you spend there hasn’t been anything meaningful here except ASU. And so, we’ve lost thousands of students on an annual basis to California especially to private universities, especially private Christian universities. We’re now keeping those students home and there are a lot of students that are attracted giving the private university education for very close to the same kind of tuition, room and board rates especially because our campus is very safe. And there is a, community feel here that is really attractive to families and to students. And so, I think it’s absolutely a good thing for Arizona that we’ve got another prominent player in the valley that we’ve got reason for people to stay here versus going out of state. And it’s really helpful from an economic standpoint for us to be growing like we are in California. Those students are coming to Arizona with tuition dollars, room and board dollars other expenses. And if we can get them graduated in areas like engineering and keep them here, that’s all good for Arizona. So, it is very competitive. It is very competitive, I think the competition is very good.
Peter Appert: Great. Thank you.
Operator: Thank you. Our next question is from Phil Stiller of Citi. You may begin.
Phil Stiller: Hi guys, thanks for taking my questions. Can you talk about the mix of online growth geographically how that’s coming in?
Brian Mueller: Yes, we continue to grow in Arizona and in California primarily. Those are the biggest areas of growth. We still have pockets where we’re very effective in the Northeast and the Southeast, not as much in Texas, there is a lot of competition in Texas. But it’s first in Arizona, second in California and then the other Southwestern states are going out, Colorado, Nevada and New Mexico. Interestingly enough, the retention rates of students are impacted the closer that you get to the home campus, the more people are familiar with our brand, the better students that we getting to hire retention and graduation rates we get. But our national advertising campaign is having a significant impact I know there are some research going on Google Searches. And some people are alarmed because they appear to be going down. What’s happening with our branded TV advertising is that people are going directly to our website in increasing numbers. And so, they don’t need to use the search engine to find us. And so the Google Searches have gone down but our overall contacts are going up. And because of that branded advertising which is effective even nationally.
Phil Stiller: Okay, that’s helpful. I mean, I guess, with more and more of your students still coming from your geographic areas, should that continue to have a positive impact on online retention, I guess what’s the upper limit on that?
Brian Mueller: It’s very good and very helpful to be in a state that you have 6.5 million people and is growing with not a lot of options. But it’s especially helpful to be within a one-hour flight and five-hour drive of 40 plus million people in California where the State University system is really under a lot of pressure. I was talking to a university President just a day or two ago, who said that in this year, they turned over 20,000 admissible students at one university. And that is traditional students but it’s also impacting non-traditional students because 33 and 34-year old students attend community colleges just can’t get the classes that they’re looking for. And we’re building relationships with those community colleges and they’re happy to build them with us because their first endeavor is to service the students. And if they can’t, and we can it’s a good thing.
Dan Bachus: From a retention standpoint, I know we’ve talked about this before our sequential quarter retention rate is in the low 90s. It was up again year-over-year. I think our plan is for that to continue to go up in the 50-ish basis points on a year-over-year basis. So, we hope it will continue to go up, we expect it to continue to go up, but you’re not going to see the 150 to 300-basis point year-over-year improvements we’ve seen because we are now in the low 90s on that metric.
Phil Stiller: Okay, great. One last question from me, the revenue per student outlook for this year is kind of up a little bit or it’s similar to last few years. It seems like most of the growth is just driven by mix with the ground campus growing and more students living on campus. Are there longer term plans to drive that to a higher level it seems like you have perhaps some untapped opportunity particularly in the ground? Thanks.
Brian Mueller: Yes, absolutely. I mean, it’s - we are really, there are companies that are coming up wanting to do residential housing for traditional universities especially state universities, they’re popping up everywhere and wanting to do your housing. Well, what they know is, it’s extremely profitable. And so, that’s become a big part of our plan both financially but also from a campus cultural perspective. The students that stay in our campus, their retention rates are higher, their average incoming GPAs are higher and their overall experience level is just really, really good. And so, we’re going to probably the best investment we can make is to continue to build campus housing both in the standpoint of how financially profitable it is but also from the standpoint of we are then in control. One of the things that we’re learning as we’re growing into 25,000 plus students is we’re not going to see it control over that environment to somebody else. We have a dry campus we have an alcohol-free campus. And so, our crime rates and our problems from a student behavior perspective are just really, really below. And when families come on our campus space feel that. And they come in frequently, and the friendliness of the campus, how polite our students are, how involved our students are. And I think I’ll be honest with you that that’s really - it’s important for the kids that come from Orange County and Paradise Valley and Scottsville and those areas. But it’s also important for those kids who come from first generation college goers. Because if we can get them on campus and get them involved in campus life and they meet people and they develop friendships, their likelihood of staying with this thing is a lot greater. And so, we’re going to continue down the road of making this from the standpoint of percentage of overall students living at campus is high as anybody in the country I hope.
Phil Stiller: Okay, thank you.
Brian Mueller: Yes.
Operator: Thank you. Our next question is from Jeff Mueller of Baird. You may begin.
Jeff Mueller: Yes, thank you. I just wanted to ask on the ground enrollment fall 2015 guidance, I think there was a slight change. Did you used to say 7,500 new, 7,000 returning and now you’re changing it to 7,500 returning, 7,000 new? And if so, is that item that the retention rate is better than you were previously expecting?
Brian Mueller: Retention rate is definitely better than we were saying, so we’re extremely pleased and happy about that. The new enrollment, we’re going to have to turn a couple of hundred students away, maybe as many as 300 students away because we just don’t have housing. And that’s unfortunate. These are students that meet the admissions requirements to a great extent but we don’t have housing for them. And so, to come from out of state and not have housing is a difficulty, so.
Jeff Mueller: Okay. And then, on the, I know you don’t want to say a lot here on details but I just want to make sure I’m understanding it correctly. On the evaluation of other ways to convert to a not-for-profit, I just wanted to verify that it’s related to looking at other potential financing mechanisms. It was still legally up to involve, you’re bringing in offer to shareholders that they would approve. Is that correct?
Brian Mueller: Jeff, again I’m not sure we want - we don’t want to get into the details of it at this point. I think give us a few months and we’ll share all those details with you.
Jeff Mueller: Okay. And then, just given the comment Brian about the stock price and some frustration there as part of this evaluation, are you looking at any other strategic alternatives? Thank you.
Brian Mueller: Well, right now we’re continuing to invest heavily in the infrastructure of our ground campus because the payout for that is so great. We’ll be at some point looking at buying back more stock, couple of years down the road maybe it’s not as big a part of the plan right now because we’re continuing to invest in the infrastructure on the campus.
Jeff Mueller: Okay, thank you.
Operator: Thank you. Our next question is from Jason Anderson with Stifel. You may begin.
Jason Anderson: Good evening guys. Just a question about pricing and tuition pricing, maybe you could speak to obviously it’s competitive with ASU, and in the area they’re on the ground. But you also have quite a bit of demand, you also have, I was intrigued by your comments about engineering and the price for engineering program. Do you feel you have some pricing opportunity or to take some pricing?
Brian Mueller: Absolutely, I mean, that’s in our back-pocket. And if ever we needed to use that, we could certainly do it. We have room both on the ground campus, we have room on the online campus and we have room in terms of what we call Canyon Connect, which is material science, especially materials. And so, we’re doing well without that. But if there comes a time where we needed to make very reasonable and modest tuition increases we could certainly do that and still be in a very fair place.
Jason Anderson: And then, just one other on the hospitality degree, have you talked about maybe what your plans are from an opportunity side or what that program could get to? And maybe also if, in the competition also will have on-ground hotel that you’ll be managing or if the uniqueness of that I guess if you could speak to that?
Brian Mueller: Yes, we’re really excited about that simply because Arizona has got, we’re in the valley here there are 4 million people, but 6.5 million people in hospitality is one of the big industries in Arizona. Northern Arizona has a great program, [indiscernible] likes that. And so for us to develop our own hotel, restaurant, convention center, golf course including club-house, restaurant, there is going to be lots of opportunities for the students. We think we can grow that to 1,000 students at our ground campus simply because it’s a very meaningful program for Arizona. And that industry continues to grow here. So we’re being right in the middle of it, like we are. We can use our own facilities but then we’ve got access to facilities all over the valley and high quality four and five star resort facilities that get our students involved in. And it made sense as just kind of overdo really.
Jason Anderson: Great, thanks.
Operator: Thank you. Our next question is from Jeff Silber with BMO. You may begin.
Henry Chen: Hi, thanks a lot, its Henry Chen calling in for Jeff. I just wanted to clarify your comments on the operating margin coming about guidance for 1Q. I know you mentioned there were more students seasonally and some expenses were lower than expected. I just wanted to clarify, is that something that it’s just a one-time theme or should we expect that to maybe recur seasonally? And related to that, what are your thoughts on where margins can go in 2016 and beyond with the new campuses? Thanks.
Brian Mueller: Well, I think if you’re looking at it on a sequential quarter basis, obviously margins are going to drop significantly in the second quarter as we always predicted because you don’t, you’re only getting one month ground traditional campus revenue in that quarter. We do have summer school, but not very many students take it and they don’t - they’re not necessarily full-time. And so, we revenue drop significantly but you got a fixed cost infrastructure that’s in place, you’re still paying all those people etcetera, plus we’re hiring people to gear up for the next fall. So if you look at next year and are trying to model fall rather first quarter of ‘16, our hope would be that we could keep margins where they were or even raise them a little bit on a year-over-year basis. I don’t think there should be deterioration in the margin year-over-year if you’re talking about first quarter of ‘16 versus first quarter of ‘15. If you’re talking second quarter of ‘15 versus first quarter of ‘15, yes for the reasons I said earlier.
Henry Chen: Got it, yes, yes, I was just looking at first quarter ‘16. And any thoughts on margin expansion for ‘16 and maybe long-term?
Brian Mueller: Well, flat to slight increase in margins year-over-year.
Henry Chen: Got it.
Brian Mueller: But we’re really early, obviously haven’t even looked at a budget for next year but that would be the goal.
Henry Chen: Great, all right. Thanks a lot.
Operator: Thank you. Our next question is a follow-up from Jeff Mueller of Baird. You may begin.
Brian Mueller: You there Jeff? Maybe not.
Brian Mueller: All right. So we have reached the end of our first quarter conference call. We appreciate your time and interest in Grand Canyon Education. If you still have questions please contact either myself, Dan Bachus or Bob Romantic. Thank you for your time.